Operator: Good morning, ladies and gentlemen, and welcome to the Cousins Properties Fourth Quarter Conference Call. [Operator Instructions]. This call is being recorded on Friday, February 6, 2026. I would now like to turn the conference over to Pamela Roper, General Counsel. Please go ahead.
Pamela Roper: Thank you. Good morning, and welcome to Cousins Properties Fourth Quarter Earnings Conference Call. With me today are Colin Connolly, our President and Chief Executive Officer; Richard Hickson, our Executive Vice President of Operations; Gregg Adzema, our Executive Vice President and Chief Financial Officer; and Kennedy Hicks, our Executive Vice President and Chief Investment Officer. The press release and supplemental package were distributed yesterday afternoon as well as furnished on Form 8-K. In the supplemental package, the company has reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accordance with Reg G requirements. If you did not receive a copy, these documents are available through the quarterly disclosures and supplemental SEC information link on the Investor Relations page of our website, cousins.com. Please be aware that certain matters discussed today may constitute forward-looking statements within the meaning of federal securities laws, and actual results may differ materially from these statements due to a variety of risks and uncertainties and other factors, including the risk factors set forth in our annual report on Form 10-K and our other SEC filings. The company does not undertake any duty to update any forward-looking statements, whether as a result of new information, future events or otherwise. The full declaration regarding forward-looking statements is available in the supplemental package posted yesterday, and a detailed discussion of the potential risks is contained in our filings with the SEC. With that, I'll turn the call over to Colin Connolly.
Michael Connolly: Thank you, Pam, and good morning, everyone. We had a strong 2025 at Cousins. On the earnings front, the team delivered $0.71 a share in FFO during the fourth quarter, which is in line with consensus. In addition, we delivered $2.84 a share for the full year in 2025, which represents 5.6% growth over 2024. Importantly, leasing remained robust. We completed 700,000 square feet of leases during the quarter, which is our second highest quarterly volume over the last 4 years. And for the 47th consecutive quarter, we delivered a positive cash rent roll-up on second-generation leasing. Earlier this week, we acquired 300 South Tryon, a trophy lifestyle office property in Charlotte for $317 million, which strategically expands our presence in the Uptown submarket. These are remarkable results all around. Let me start with a few observations on the market. Most major companies are phasing out remote work. Home Depot here in Atlanta is the latest Fortune 500 company to end work from home entirely. Thus, office fundamentals are improving. Demand is growing as leasing hit a post-pandemic high in 2025. Vacancy is declining with new construction starts at de minimis levels, any meaningful increase in new supply is 4 to 5 years away. The net result of these trends will be a shortage of high-quality space that will be particularly acute in 2028, 2029 and 2030. Importantly, for Cousins, corporate migration to the Sub Belt has reaccelerated. As a result, our leasing pipeline is robust across all markets. We see a notable pickup in leasing interest from West Coast and New York City-based companies, particularly among financial service and select large-cap technology companies. While not necessarily full corporate relocations, they are significant regional hubs and in some cases, highlight growth away from high tax and high regulation states. The recent mayoral election in New York and wealth tax proposals in California only reinforce these trends. A slowing labor market is raising some concern about office leasing. However, as I said, demand is actually accelerating. I'll explain why. Office using employment growth was historically high during the pandemic. At some companies, headcount almost doubled. Because of the pandemic, many of these new hires were remote and associated office space was never leased. Now as return to office mandates have become widespread, many companies lack the space to accommodate their pandemic era headcount growth even after recent layoffs. Simply said, the tailwinds from accelerating return to office remain greater than the impact of a slower job market. This is an excellent setup for Cousins to advance our strategic plan. Our team remains sharply focused on driving earnings growth while maintaining our best-in-class balance sheet and enhancing the quality of our Sub Belt lifestyle portfolio. I will share some 2026 priorities. First, we plan to grow occupancy in 2026. At quarter end, the portfolio was 88.3% occupied and finally reflects the expiration of Bank of America's lease in Charlotte. We have modest lease expirations in 2026 and a late-stage leasing pipeline that now totals over 1.1 million square feet. While the ramp will be weighted towards the back half of the year, we have a goal of achieving occupancy of 90% or higher by year-end 2026. We believe this goal is achievable, but will be highly dependent on the timing of lease commencements, which are outside of our control. Simply said, though, timing, not underlying leasing demand will be the risk in achieving this goal. Second, we hope to execute additional accretive investment opportunities. Our track record highlights our openness to a wide variety of transactions, including property acquisitions, debt, structured transactions and joint ventures. However, our core strategy remains the same, invest in properties that already are or can be repositioned into lifestyle office in our target Sub Belt markets. To fund any new investments, we will always evaluate all of our options. To be clear, new equity at today's stock price certainly does not make financial sense. Dispositions of noncore assets, settling shares already outstanding on our ATM and/or utilizing the balance sheet are more likely options. While sometimes characterized as conservative, we view our low levered balance sheet as an offensive tool. At select times in the past, we have modestly flexed up our leverage to take advantage of compelling investment opportunities. Given improving property fundamentals and a scarcity of competitive office capital, this could be one of those moments. We will remain agile and opportunistic with any acquisitions and/or dispositions. And as always, our capital allocation decisions will prioritize earnings accretion while maintaining our financial strength and enhancing our portfolio quality. Lastly, we hope to identify a new development start that could break ground in late 2026 or 2027. As I mentioned earlier, large users with '28, '29 and 2030 expirations are facing a significant shortage of large blocks of premier space and will likely need to consider new construction. We hope to capitalize on this dynamic as select development with meaningful pre-leasing has been a powerful source of long-term earnings and NAV growth for Cousins. Last night, we introduced 2026 FFO guidance of $2.92 a share at the midpoint. This guidance forecast implies 2.8% growth over 2025. This would be our third consecutive year of FFO growth and would represent a 3.7% compounded annual growth rate over this time period. This performance is simply unmatched among other traditional office REITs. Our team's ability to drive both internal and external growth is the key. We are excited about what is ahead for Cousins. As I said, demand is accelerating, new supply is at historical lows. The office market is rebalancing. We are growing earnings. Bank of America independently ranks our portfolio as the highest quality in the office REIT sector, and the balance sheet is exceptionally strong, and our G&A is highly efficient for our investors. Before turning the call over to Richard, I want to thank our dedicated Cousins employees who provide outstanding service to our customers and each other every day. Richard?
Richard Hickson: Thanks, Colin. Good morning. Our operations team ended 2025 with another great quarter and once again delivered a full year of fantastic operating results for our shareholders. In the fourth quarter, our total office portfolio end-of-period leased and weighted average occupancy percentages were 90.7% and 88.3%, respectively. Our portfolio leased percentage was sequentially higher, driven by gains in Atlanta, Tampa and Phoenix. Our portfolio occupancy was flat sequentially as we expected, with occupancy either increasing or holding steady in every market except Charlotte. Regarding occupancy in Charlotte, the impact of Bank of America's expiration at 201 North Tryon is now fully reflected in our occupancy. As Colin mentioned, our occupancy outlook remains the same. Our exceptionally low 2026 lease expirations of only 4.8% of contractual rent and continued strong new leasing demand are important tailwinds in our focus on driving occupancy gains. Leasing volume in the fourth quarter was very strong for Cousins. Our team completed an impressive 39 office leases totaling 700,000 square feet with a weighted average lease term of 9.6 years. This is our highest quarterly square footage volume of the year and the second highest in the past 4 years. Our total signed activity for the year exceeded 2.1 million square feet, which was the most since 2019. This quarter, 493,000 square feet of our completed leases were new and expansion leases, representing 70% of total activity. For the full year, new and expansion activity accounted for a healthy 55% of our activity. Our average net rent this quarter came in at 36.52 and leasing concessions, defined as the sum of free rent and tenant improvements were above trend at $10.58. As a result, average net effective rent this quarter came in at a lower $23.18. It is important to note that we completed 211,000 square feet of leasing at Northpark this quarter, including a very important 166,000 square foot new lease with AT&T. While this activity is clearly very positive, Northpark lease economics are generally lower than the balance of our portfolio. So for context, when excluding Northpark activity, our average lease economics were much stronger with net rent of $41.02, concessions of $10.03 and net effective rent of $27.96. The same dynamic holds true with our increase in second-generation cash rents this quarter. In total, this quarter, while still positive, cash rents only increased 0.2%. However, excluding Northpark, cash rents increased by a more substantial 10.4% and every market posted increases this quarter. At the market level, JLL reports that leasing volume in Atlanta registered a 5.8% increase quarter-over-quarter in the fourth quarter, marking the highest quarterly volume of the year. We have seen this demand in our portfolio, where we signed a phenomenal 361,000 square feet of leases in the fourth quarter, our highest quarterly volume in Atlanta since the first quarter of 2019. 70% of our quarterly activity was new and expansion leasing and included the AT&T lease at Northpark that I've already mentioned. Our total activity also included 2 renewals with Raymond James totaling 55,000 square feet in both Buckhead and Northpark. Net of our Northpark activity, the Atlanta team also rolled up rents an impressive 14.5% this quarter. Our Atlanta portfolio occupancy also increased for the second consecutive quarter to 84.2%, driven by commencements at Avalon and in Buckhead. In Austin, JLL noted that the CBD posted positive absorption for both the fourth quarter and the full year. In addition, with 1.3 million square feet of leasing activity market-wide in the fourth quarter, total leasing activity for the full year was the highest for Austin since 2021. Notably, leasing by technology companies played a meaningful role in the year's activity and nearly 1/3 of tenants currently in the market are technology companies. Across our Austin portfolio, we signed a solid 98,000 square feet of leases in the fourth quarter, and we ended the year at 94.8% leased. In Charlotte, CBRE noted that the fourth quarter rounded out with what was one of the strongest leasing years as of late, with leasing activity market-wide increasing 72% year-over-year. About 3/4 of that activity was new and expansion leasing, driven by large block and also new-to-market requirements. Along with that, there is no speculative new development currently underway. This supply and demand equation has already translated into solid rent growth in the urban core and the tightening conditions in Charlotte certainly bode well for our major redevelopments of 201 North Tryon and 550 South. Our 550 South redevelopment is reaching completion at a great time as the property will see a couple of move-outs in the second quarter that combined will total 128,000 square feet, all of which have been long expected and are included in our occupancy outlook. With that said, I'm very pleased to report that we are in lease negotiations with a new 87,000 square foot customer at 550 South that would take occupancy in 2026. While we don't yet have any specific activity to report at 201 North Tryon, we continue to see very encouraging demand for multiple large requirements for what we view as the highest quality second-generation large block availability in the market. In Phoenix, full year 2025 net absorption came in at over 700,000 square feet and fourth quarter absorption showed improvement over the prior quarter for JLL. Demand in the market continues to be focused on the most well located and high quality projects especially in Tempe and the Camelback Corridor. As such, the highest quality segment of the market has been successfully increasing rents. For example, prior to 2024, Phoenix had not seen a lease completed with a gross rent over $60 per square foot. As of today, 20 leases have been completed market-wide north of that mark. In the fourth quarter, our Phoenix team signed an incredible 177,000 square feet of leases, all of which were at our Hayden Ferry project in Tempe. Over 90% of our quarterly activity was with 3 new customers with all of them relocating their corporate headquarters to Hayden Ferry. I'm thrilled to say the entire project, inclusive of Hayden Ferry I is now 95% leased. The redevelopment of Hayden Ferry and resulting accelerated lease-up of the former SVB space and then some is one of the greatest success stories in Cousins recent history. I'll conclude with an update on our leasing pipeline. Our overall pipeline remains near peak levels and 60% of the overall pipeline is new and expansion leasing. In our December late-stage leasing pipeline update, we shared that 1.2 million square feet of activity was either signed quarter-to-date or in lease negotiations. Even after completing 700,000 square feet of volume in the fourth quarter, as of today, we still have over 1.1 million square feet of leases either signed quarter-to-date or in lease negotiations. Further, the amount of activity we have in lease negotiations is at its highest level in 5 years. With continued robust demand and activity progressing nicely through our pipeline, we believe we are positioned for an excellent start to 2026 on the leasing front. As always, I want to thank our operations team for everything they do to help make us successful. Again, 2025 was another fantastic year, and we are looking forward to continuing the momentum into 2026. Kennedy?
Jane Hicks: Thanks, Richard. Good morning. As Colin discussed, one of our key objectives remains to identify and execute acquisitions that meet our criteria, lifestyle Sun Belt assets consistent with or better than the quality of our current portfolio that we can acquire and fund in a manner that is accretive to earnings and cash flow. While office transaction volume is increasing across our markets, we believe that we still have a competitive advantage as a well-capitalized buyer and operator, particularly when it comes to larger offerings. To that end, I'm excited to provide more detail on the acquisition of 300 South Tryon in Uptown Charlotte that we closed earlier this week. The 638,000 square foot trophy asset is an excellent strategic fit for our portfolio. The highly amenitized building sits in the heart of the urban core, boasting a walk score of 95 as well as very convenient vehicular access and direct connectivity to the Kimpton Tryon Park Hotel. Since its completion in 2017, the 100% leased building has served as Barings global headquarters, while also attracting a who's who of Amwell 100 and other professional service firms such as Mayor Brown, Ameriprise Financial, K&L Gates and RSM. Barings leases approximately 30% of the building. We acquired the building off market for $317.5 million or $497 per square foot, a basis that represents a significant discount to replacement cost. This equates to a 7.3% cash cap rate and an 8.8% GAAP cap rate. There's currently over 6 years of weighted average remaining lease term and strong upside potential given that the in-place rents are approximately 20% below today's market rate. This transaction and the seller's desire to work with us directly validates our competitive advantage within our markets. The asset is a great complement to our existing Charlotte portfolio, bringing it to 2.7 million square feet. The Charlotte market has recently been a top performer, leading the country in job growth in 2025 amongst major MSAs. As Richard mentioned, this dynamic, along with the dwindling supply of high-quality urban space has led to demonstrable recent rent growth in the top-tier buildings. We expect this trend to continue and perhaps even accelerate. Turning to dispositions. The private market continues to improve with equity and debt sources becoming more constructive around office opportunities, especially those of a smaller size. As we have discussed in the past, we view dispositions as one of several funding options for new acquisitions and eventually developments. Given the quality of our portfolio and balance sheet, we don't need to sell. But when there are opportunities to accretively rotate into assets that improve our portfolio composition and mitigate higher CapEx needs, we plan to execute. We are currently under contract to sell Harbourview Plaza in Westshore Tampa, scheduled to close in the first quarter for $39.5 million. This is a 2002 vintage building that is approximately 81% leased and due for a renovation. We were encouraged by the depth of investor demand for the building and decided that our resources are better invested in other assets going forward. We also have a land parcel, 303 Tremont in Southend Charlotte, now under contract to be sold to a residential developer. The contract price for the 2.4 acres is $23.7 million, and we expect it to close in the second half of the year. As you know, we maintain a very modest land bank, but similar to the rest of our portfolio, we are always evaluating the highest and best use of our capital. As this area of South End has evolved, our view is that this particular site is now better suited for a residential development as opposed to the office towers that we originally contemplated. Given the aforementioned office supply shortage in Charlotte, we continue to advance predevelopment efforts on our other South End site, 1435 South Tryon and remain enthused about the prospects for that eventual office development as well as others across our markets. Looking forward, we are optimistic that 2026 will be another busy investment year for Cousins. We continue to be opportunistic when it comes to acquisitions and dispositions as well as other investment opportunities. We have the flexibility to invest in a variety of ways throughout a capital stack, yet we'll maintain discipline as to quality with a constant eye towards ultimately increasing earnings. Finally, I want to provide an update on Neuhoff, our mixed-use development project in Nashville. We finished the quarter with the apartment component up to 89% leased. And today, it sits at over 90%. We did move the stabilization date to the first quarter of 2026 as we expect to achieve over 90% occupancy in this quarter. On the commercial side, we remain very encouraged by the recent activity, both in the market and at the project. We now have a late-stage lease pipeline that is nearly 120,000 square feet. We look forward to providing further updates. I will now turn the call over to Greg.
Gregg D. Adzema: Thanks, Kennedy. I'll begin my remarks today by providing a brief overview of our results, spending a moment on our same-property performance and then moving on to our property transactions and capital markets activity before closing my remarks by discussing our inaugural 2026 earnings guidance. Overall, as Colin stated upfront, our fourth quarter results were outstanding. Second-generation cash leasing spreads were positive, same-property year-over-year cash NOI increased and leasing velocity was exceptionally strong. Focusing on same-property performance for a moment, GAAP NOI increased 0.4% and cash NOI increased 0.03% during the fourth quarter compared to last year. These numbers were negatively impacted by the large Bank of America departure that Richard discussed earlier. But despite that, we've kept this property in the same property pool. Excluding 201 North Tryon, same-property cash NOI increased 2% during the fourth quarter. As Kennedy just discussed, we're in the process of selling 2 noncore assets. These assets were reported as held for sale on our year-end balance sheet, and we recognized impairments on both during the fourth quarter. At Harbourview Plaza, we recognized a $13.3 million impairment, which as a depreciable asset does not impact NAREIT-defined FFO. At 303 Tremont, we recognized a $1 million impairment on our land parcel, which does run through FFO. Before moving on, I want to provide a little bit more detail on the Tremont impairment. We originally purchased this parcel in 2021 for $18.9 million. It's currently under contract to sell for $23.7 million, so there's been significant depreciation. However, while we held it, we spent $5.4 million in predevelopment costs. It's these predevelopment costs that led to the impairment. And just last night, we received repayment at par of our $18.2 million mezzanine loan secured by an equity interest in the 110 East property in the South End submarket of Charlotte. We assumed this repayment in our '26 guidance. Finally, although we didn't sell any common shares during the fourth quarter, to date, we have sold 2.9 million shares through our ATM program on a forward basis at an average gross price of $30.44 per share. None of these shares have yet been settled. With that, I'll close out our prepared remarks by discussing our 2026 earnings guidance. We currently anticipate full year '26 FFO between $2.87 and $2.97 per share with a midpoint of $2.92 per share. This is approximately up just a little under 3% from the prior year. Our guidance includes a refinancing of approximately $465 million in debt that matures between August and October of '26. Our unsecured bonds currently trade at the tightest spread to treasuries among all traditional office REITs and are much tighter than any secured debt options. This will provide us a significant cost of capital advantage as we pursue this refinancing. Our guidance also assumes the 300 South Tryon acquisition is funded with proceeds from the Harbourview and Tremont sales as well as approximately $200 million in additional noncore asset sales. We provided this additional sales assumption for modeling purposes. In reality, as Colin stated earlier, our strong balance sheet puts us in a position to be very patient and opportunistic on the ultimate funding for this acquisition. Our guidance does not include any additional property acquisitions or development starts in 2026. If any of these do take place, we'll update our earnings guidance accordingly. Bottom line, our fourth quarter results are excellent, and our initial 2026 guidance indicates the third straight year of earnings growth. Our best-in-class leverage and liquidity position remains intact. Office fundamentals continue to improve with accelerating leasing activity and declining new supply, and we continue to deploy capital into compelling and accretive investment opportunities. We look forward to reporting our progress in the coming quarters. With that, I'll turn it back over to the operator.
Operator: [Operator Instructions] Your first question comes from the line of Blaine Heck from Wells Fargo.
Blaine Heck: Colin, I thought your commentary on starting a new development project was interesting. Can you talk about which markets are most supportive of development from a yield perspective and whether you're likely to develop on land you own, maybe redevelop something in your portfolio like your opportunity in the domain or whether you'll be looking to purchase land associated with that new development?
Michael Connolly: There's not a specific development yet that I'm referring to. But given the number of opportunities that we're looking at across our footprint, that does make me hopeful by year-end, we will have identified one. And I think it could be in several different markets. Dallas, Uptown Dallas is extraordinarily tight, and we're seeing rents today approach replacement cost rents. You alluded to The Domain, which is effectively 100% leased, and we've got great land there. We referenced a tightening Charlotte market in the south end of Charlotte, again, where we own great land, where we're seeing a shortage of large blocks of space. Even in Buckhead, where I'm sitting today, there's not a single block of space over 100,000 square feet today in a Class A building. So I do think you're going to start to see some increases in rental rates that will justify new construction for some large users that have no other alternatives, and we want to be ready to capitalize it. And it ultimately could be land that we own today. It could be some discussions that we're having about various ventures with folks that own parcels that we currently do not own. So it's going to be -- we're going to be flexible, but we're laser-focused on identifying and converting one of these opportunities, hopefully by year-end.
Blaine Heck: Okay. Great. That's helpful. You've got a robust late-stage pipeline, as you guys have alluded to at 1.1 million square feet. So I'm sure you guys have a good idea of where rent spreads might be on that activity. Is there any color you can provide there and just general thoughts on '26 rent spreads on a cash basis?
Richard Hickson: Sure. This is Richard. Yes, I mean we definitely have visibility into that in the late-stage pipeline. And what I'll say is that it's looking certainly more in line with our activity this past quarter net of Northpark. So we feel good about the near term on continuing to be able to roll up cash rents.
Michael Connolly: And Blaine, I'd highlight if we're successful in delivering another positive cash rent roll-up in the first quarter, that will be our 48th consecutive quarter with a positive second-generation rent roll-up. That's -- for those that don't want to do the math, that's 12 years.
Blaine Heck: Very impressive. Yes. Last one for me. Can you just talk a little bit more, I guess, about the optionality you guys have for funding the 300 South Tryon acquisition and how you're thinking about sales versus debt or equity issuance from a strategic and also economic perspective? I guess, are there certain target cost of capital or yields on each option that would make you kind of lean one way or the other?
Michael Connolly: Yes. Great question, Blaine. It is -- we have a lot of optionality. And the reason for that optionality is the low levered balance sheet we have and the trophy quality of the portfolio. You hit it right on the head. We're trying to balance both the financial aspects with the strategic aspects. And so we will continue to look at various opportunities to fund that. And I'd say we think about dispositions and the alternative dispositions really with a basket approach. So you could see we've got Harbourview and a piece of land under contract to sell. We perhaps could pair that with an older vintage, higher CapEx disposition that might be at a higher cap rate. But ultimately, what we're trying to balance with any disposition or basket of dispositions is a -- a disposition yield that is comparable to where we could reinvest that. So we've been buying at GAAP cap rates in the 8s. I would expect us to -- any sales that we execute the weighted average cap rate of those sales to be at least at that cap rate, if not lower, because ultimately, driving accretion is the priority.
Operator: Your next question comes from the line of Andrew Berger from Bank of America.
Andrew Berger: Maybe just piggybacking on Blaine's first question on developments. Can you give us a sense of the type of underwriting criteria you would look for, whether that's yields and maybe the percent pre-lease that would give you enough confidence to start the project and also whether this is something you would look to do yourself or potentially bring in a joint venture partner?
Michael Connolly: I would say we're targeting plus or minus 50% on a pre-lease basis. And I would expect cap rates -- or excuse me, development yields to be at least 150 basis points, if not 200 basis points higher than stabilized cap rates today. So that would put you in the, call it, 8.5% to 9% range today on a development yield. And we're flexible in terms of whether we do it ourselves or we ultimately have a joint venture partner, and we're always evaluating lots of different opportunities.
Andrew Berger: Great. And as my follow-up, you mentioned some activity from companies primarily located on the West Coast and New York City. Can you just talk about which of your markets you're seeing the most of that activity in?
Michael Connolly: Sure. We're seeing a significant amount of activity in Austin from West Coast companies. We're also seeing some of that in Nashville with various tech users. And then I'd say there's been a real significant pickup in financial services firms out of New York looking at Charlotte in particular.
Operator: Your next question is from the line of John Kim from BMO Capital Markets.
John Kim: Colin, it sounds like from your occupancy target this year, you have a little bit less conviction than last quarter, yet leasing activity was very strong this quarter. The investment activity with 300 South Tryon and selling Harborview should help your occupancy figure overall. So I'm wondering what has changed in the last few months for you to maybe walk that back a little bit.
Michael Connolly: No, John, I don't think anything has changed. And we still, as we sit here today, believe that, that is an achievable goal. Again, it's a goal, not guidance, but we do think that it is achievable given the low levels of expirations. And as you touched on the leasing that we're doing, as I mentioned, timing of commencement is a risk, and I'll just give you an example that if we had a decision between a 100,000 square foot lease that could commence in 2026 in Charlotte or a 200,000 square foot lease in that same block that would commence in 2027, we would likely pursue the larger lease if the economics were strong. So there's just -- there's a little bit of timing from a quarter-to-quarter perspective. But we still think that it's highly achievable. And again, I think you're going to continue to see progress on our percent leased over the year and perhaps that spread between percent leased and percent occupied could continue to grow. But again, I think there's just some variability with timing of a commencement of a lease that's beyond our control.
John Kim: Yes, that makes sense. I'm just wondering if you feel comfortable maybe not now or going forward on providing a leased target rather than occupancy just given those dynamics.
Michael Connolly: Yes, that we would consider. Absolutely, we would consider that. It's easier to forecast.
John Kim: You mentioned in your prepared remarks, the return to office just providing a demand boost currently. Today, we're about 4 years removed from COVID restrictions ending, but I know the return to office has been various or varied across your markets. How much runway do you think we have left on the RTO demand?
Michael Connolly: Hard to say, John. There are -- as I mentioned, there are companies like Home Depot that just kind of made this announcement and shift just a few weeks ago. What we can say is that demand is continuing to accelerate. Our pipeline continues to grow. And I also think there's some other trends that will likely kick in, in the not-too-distant future that I think could increase renewal activity and that being the shortage that I indicated is coming in '28 and '29, we're starting to see some of the tenant reps and better informed customers recognize that they probably need to address those lease expirations sooner than later so as to not be boxed out of space at expiration time.
Operator: Next question comes from the line of [ Manush Abek ] from Evercore ISI.
Unknown Analyst: You talked about good traction on the former Bank of America space and also the commentary sounded positive on the Neuhoff commercial property. So I was wondering if you could share some more color on just the specifics on what type of tenants and how far along you are with those prospects in terms of like lease discussions on those 2 like projects or spaces.
Richard Hickson: Sure. I can start with that. This is Richard. Specifically on 201 North Tryon we really continue to see a lot of encouraging demand from large users. Colin already alluded to this, but we all know that Charlotte has traditionally been a hub for financial services. That's -- nothing has changed there. I think it's evolved to some extent to include some level of fintech and technology embedded within large traditional financial services firms, but we're seeing very encouraging looks from that industry and also from large users looking to relocate significant operations out of other markets and into Charlotte. So again, we don't have anything specific to report to you on 201 North Tryon, but we're very optimistic that we will have something very near term. In Nashville, again, technology seems to be a really healthy driver of activity and sort of add-on to new-to-market activity. So continue to be very optimistic about the demand there, both in market and from out of market.
Unknown Analyst: Got you. And maybe one follow-up question. Obviously, the market -- there is some fear in the market baked in about just software companies and their outlook for those. Is there any space in your portfolio or tenants that you have a closer eye on just to like follow them if there's any like type of underutilization of space? Again, I don't mean to sound too negative in your commentary is obviously very positive. So I just wanted to check on that since that's the current theme.
Michael Connolly: No. It -- the tech component of our customer base is made up of primarily very large, well-capitalized technology companies, Amazon and Google being our 2 largest customers. But there's nothing that we've seen or identified any software companies within our portfolio that are now underutilizing their space or would be showing any signals of any negative impact to their business. So it's far too premature for that.
Operator: Your next question comes from the line of Anthony Paolone from JPMorgan.
Anthony Paolone: You mentioned the activity in Austin and financial services in Charlotte. But can you talk a bit more about Atlanta? I think the narrative around really strong growth plans for firms like Microsoft and Google were pretty prominent over the last few years. But maybe give us an update on maybe where they are in that hiring and whether or not sort of the anticipated ecosystem around those employers has developed.
Michael Connolly: I think specifically, you referenced Microsoft that has bought a significant amount of land in West Midtown. I'd say they have scaled back those plans specifically for their new development. That being said, they did anchor to a large office development project in Midtown. So it was -- I'd say they accomplished probably half of what their announced plans were. But overall, Richard could touch on Atlanta. We're seeing really positive activity, leasing activity across in all of our markets, and it continues to represent a significant amount of our leasing activity. So Richard can give a little bit of color on that.
Richard Hickson: That's absolutely right. If you look at what we've completed recently, again, the volume has been phenomenal. Looking out in both the late and early-stage pipelines for Atlanta, the new and expansion activity is roughly half of our demand. Looking at the industry mix, financial services are very much focused on Atlanta. But it's also tended to be a more diversified demand mix in Atlanta, too. So we're seeing a little bit of everything, plenty of professional services. There is the tech component. And so it's very healthy from a diversification standpoint.
Anthony Paolone: Okay. And then just back on the occupancy side and thinking about that over the course of this year. Is there -- like can you quantify maybe like how many leases are signed, -- they're just waiting to commence throughout the course of '26? And also maybe even as it relates to your expirations, what you think tenant retention might look like? And I guess the goal of those 2, just trying to understand what the bridge or might need to be on the leasing side to get occupancy higher.
Richard Hickson: Sure. I'd say just at a high level, we've always indicated that retention is likely, over time, going to be in the 50% range. And we only have, I think, 1 million square feet -- of square feet expiring in 2026. To your question about what's signed but not yet commenced, what I'd say is that virtually all of our Q4 '25 new and expansion leasing, which is 490-some thousand square feet is going to be commencing in '26. So I think the exact number is 460,000 square feet. That weighted average commencement is going to be in the third quarter, kind of mid-third quarter. What I'd caution is that though those actual commencements are in the third quarter, the way we report occupancy on a weighted average basis, we won't see the impact of those commencements flow through until the fourth quarter in its entirety. So -- but again, we -- a lot of the heavy lifting that we've done on leasing recently is going to show up in '26. Now you look out to the late-stage pipeline and the early-stage pipeline, we're still seeing plenty of '26 commencements on our uncompleted or unsigned activity, but we are fighting the calendar. And Colin gave a good example of situations where we might make decisions to choose a later commencement if it's the right long-term and strategic decision for the company and may not help occupancy in '26, but still be the right decision for the long term. So again, plenty of activity that we completed will have an impact on '26, but we're starting to get into that time of the year where '27 commencements are going to become more and more common.
Anthony Paolone: Okay. So if I could just kind of make sure I understand all that, if you keep half your tenants expiring this year, that's almost 0.5 million square feet, then you've got another almost 0.5 million square feet that's just scheduled to commence. So that kind of gets you to flat as a starting point, everything that gets done at this point that you can get commenced and '26 becomes the pickup. Is that kind of a fair summary then?
Michael Connolly: Yes. And also what Richard referenced was just the signed leases in the fourth quarter. There were also leases signed before the fourth quarter that will have an impact on 2026, Tony, to ultimately drive the occupancy as well as any other new speculative leasing that we do that we're working on now that will have a positive impact on 2026.
Operator: Your next question comes from the line of Brendan Lynch from Barclays.
Brendan Lynch: A couple on Harborview and Tampa. Was this asset sale more consideration of asset being asset specific relative to being a consideration for the Tampa market? And also, how many assets do you have that have similar characteristics to Harborview that are older, lower occupancy and need redevelopments that you would be interested in potentially recycling?
Jane Hicks: Brendan, it's Kennedy. I would say this is asset specific. So we are certainly very encouraged by what we're seeing in the Tampa market in general and across the rest of our portfolio there. And as it relates to the other assets, I mean, as we've said in the past, it's a very small percentage. And so we kind of look at it relative to the -- where we think investor demand is and again, where the best use of our capital is going to be going forward. So it's certainly sub 10% of the portfolio, if not much less than that.
Brendan Lynch: Okay. That's helpful. And maybe you could also give an update on Proscenium as you've made progress with the repositioning and how demand has been for the space in that asset?
Jane Hicks: Sure. Good question. We are just now opening up the repositioning. So it's, I'd say, 2/3 of the way done. And as we've seen with some of our other assets, that's generally been a good indicator of when the leasing activity starts to pick up. So we're in good discussions with several prospects there and really encouraged by the response that we've gotten to the renovation work.
Operator: Next question comes from the line of Nick Thillman from Baird.
Nicholas Thillman: Maybe, Richard, following up on just the late-stage leasing pipeline and the 1.1 million square feet. As we think of just larger tenants within that pipeline, say, above 100,000 square feet, are there any big chunkier deals within that number? And just remind us what the actual close rate historically has been for signed deals on that pipeline?
Richard Hickson: Yes. The late-stage pipeline is generally very reliable. So it's 95% to 100% usually conversion rate. I can think of a couple of instances in the last couple of years, we've had someone fall out of that pipeline, and it's usually highly specific to a business decision or approval process in a particular tenant. So very good conversion rate there. There is a little bit of chunkiness in the late-stage pipeline. Some of it's in Atlanta, some really positive new activity. We have some renewal activity that's of size that's in the pipeline as well. But it really -- it's fairly evenly spread across all of our markets.
Nicholas Thillman: And on that Atlanta number, is that related to renewal or new? I just wanted to clarify that.
Richard Hickson: They're both actually, but the largest is new deal.
Nicholas Thillman: Okay. And then maybe just touching on a couple of the larger blocks that are coming up. Just an update on overall in Houston with Samsung? And then also, can you remind us what the plans are with Ovintiv space that's currently a sublet that's expiring next year with the 88% of the subtenants in the space. Is the plan to go direct with subtenants? Or is there some larger users looking at that space? Maybe some more commentary there, so those 2 spaces.
Richard Hickson: Sure thing. Maybe I'll start with Legacy Union in Plano and the Ovintiv building. Again, as a reminder, what we did last quarter was we entered into an agreement with Ovintiv as the prime tenant to take over management for one, get control of the building because we did not have that. And then terminate them early in the middle of '26, at which time we will go direct with the subtenant base, which is extensive at the project. So you look at that square footage that will still expire out in '27. We're having very positive constructive discussions with 4 different subtenants currently at the project. So we feel good about our prospects of potentially taking those direct. When you kind of back those out and look at what the opportunity is to go do new leases with new tenants and continue to multi-tenant the building, that's roughly 150,000, 175,000 square feet out in '27. And the pipeline in Plano and North Dallas, in particular, it's extremely robust. And we're seeing just in the last month, probably at least 3, 4 different tours of the building greater than 150,000 square feet, but we also have plenty of inquiries of a single floor, 2 floors, 3 floors. So very positive demand backdrop there. At Briarlake in Houston with the Samsung expiration. As a reminder, that expiration is in at the end of November of this year. So really minimal impact either way on 2026. It's 123,000 square feet. I'd say that at this moment in time, only about 70,000 of that is exposure. We're having very positive discussions with a number of subtenants there as well and also some new deals and very similar demand backdrop to North Dallas.
Operator: Your next question is from the line of Dylan Burzinski from Green Street.
Dylan Burzinski: Colin, you mentioned, obviously, the strong demand backdrop, which is accelerating Cousins portfolio is likely to be sort of 90% leased, call it, towards the end of this year, it sounds like. And then you mentioned new development not likely coming for the next 4 to 5 years. And obviously, replacement rents are sort of well above market rents today. So just sort of wondering, can you sort of give us an outlook for where you guys sort of see the growth in net effective rents shaking out over the next 1, 2, 3 years?
Michael Connolly: Dylan, as you just described, the backdrop is really, really positive. Demand is accelerating. Construction is de minimis. You're actually seeing approximately 20 million square feet a year being taken out of inventory. And so we do see a shortage of premier space starting to take shape in 2028 and beyond. And so that -- we believe we're close to an inflection point where it will very much become a landlord's market. And as I alluded to, tenant reps are starting to recognize that by approaching us early on those type of renewals in those time periods. I can't say specifically what the change in net effective rents will be. But I do think rents will go higher and concessions will come down. You're already starting to see in certain submarkets where that shortage is showing up sooner and will be a good proxy. And Dallas would be a good example where over the last 4 years, rents have arguably doubled within trophy properties in uptown Dallas and again, concessions have come down. So rent growth in the office world rarely moves in a single-digit linear way, whether up or down. It's usually a bit chunkier. And we are seeing, again, some specific markets today where we've seen double-digit rent growth over the last year. At our Hayden Ferry project, as an example, rents have grown 10% to 20% over the last 12 to 18 months alone. So I think it's a very, very favorable backdrop an environment for owners of trophy lifestyle office and I'd say, particularly in the Sun Belt where the population continues to grow and migration continues to be very favorable.
Operator: Your next question comes from the line of Upal Rana from KeyBanc.
Upal Rana: Colin, you mentioned in the past of an increased interest in private capital in your markets. Could you give us an update on how that looks today and how that is impacting how you're thinking about deploying capital on external growth opportunities?
Jane Hicks: This is Kennedy. I'll jump in on that. Yes, I mean, as I mentioned, certainly seeing more private capital generally, family offices, kind of high net worth capital has been leading the way. There's certainly a lot of debt capital out there now that's being much more constructive around office. But those types of capital sources generally are more focused on the smaller deals. So that's where we're, again, trying to align some of our disposition thoughts as well. So we really haven't seen that capital start to compete with us on acquisitions. We think it's probably coming, but still feel like we've got a good window and a competitive advantage when it comes to investing in some of the larger assets.
Upal Rana: Okay. Great. That was helpful. And then Greg, on your full year guidance, assumes the refinancing on the term loan, Colorado Tower and 201 North Tryon. What do you have currently baked into you guidance on where pricing could potentially shake out?
Gregg D. Adzema: We're committed to an unsecured borrowing strategy. So we will likely refinance all of those 3 maturities with unsecured debt. And I'm not saying I'm going to do it right now, but if I did it right now, we have a hole in our maturity schedule in 7 years and 10 years. So we have some flexibility in what we do. And the 7-year debt would probably get priced, if I did it today, somewhere, give or take, around 5% and the 10-year debt would be priced somewhere around probably 3.5%-5.40%.
Operator: Your last question comes from the line of Shashank Saurav from Mizuho.
Shashank Saurav: This is Shashank on for Vikram Malhotra from Mizuho. It appears that Austin as a market has inflected positively. Any more color on bigger requirements there?
Richard Hickson: I think we are definitely seeing some level of positive -- I don't want to say green shoots, a little overused term, but some positive activity that I alluded to in the tech sector. Obviously, a lot of Austin's success in the past has been driven by tech demand. And we see that starting to percolate certainly in our pipeline in our own specific activity. So I would say, yes, we're seeing some positive movement there.
Shashank Saurav: My next question is, how should we think about TI spend in '26 and as we go into '27?
Richard Hickson: Well, obviously, the TIs drove some elevation in concessions this past quarter. I would point you back toward my comments about ex Northpark and looking at lease economics in that context, you're going to continue to see with the elevation of TIs, our prioritization of occupancy and driving occupancy. And so that could continue. But what I'd like to stress, and this has been a theme over, frankly, many years as we've talked about at different points of time where we see pressure in TIs or concessions in general, that we have been able to successfully maintain net effective rents. And I think that was the case this past quarter, even with elevated TIs. And it's important to note that with the tightening conditions that we see ahead, certainly in the medium term that we're going to be able to back off of that over time. I think it's going to become a more constructive market for owners and landlords. So I would call that a more near-term dynamic as we prioritize occupancy.
Operator: There are no further questions at this time. I would like to turn the call back to Colin Connolly for closing comments. Sir, please go ahead.
Michael Connolly: Thank you for joining us this morning, and we appreciate your continued interest in Cousins Properties. If you have follow-up questions, please feel free to reach out to Gregg Adzema or Roni Imbeaux. Have a great day and a great weekend.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you very much for your participation. You may now disconnect.